Operator: Good morning, and welcome to S&P Global Inc.'s First Quarter 2025 Earnings Conference Call. I'd like to inform you that this call is being recorded for broadcast. All participants will be in a listen-only mode. We will open the conference for questions and answers after the presentation, and instructions will follow at that time. To access the webcast and slides, go to investors.spglobal.com. If you need any additional technical assistance, please press star zero, and I will assist you momentarily. I would now like to introduce Mr. Mark Grant, Senior Vice President of Investor Relations for S&P Global Inc. Sir, you may begin.
Mark Grant: Good morning, and thank you for joining today's S&P Global Inc. First Quarter 2025 Earnings Call. Presenting on today's call are Martina Cheung, President and Chief Executive Officer, and Eric Abwaf, Chief Financial Officer. We issued a press release with our results earlier today. In addition, we have posted a supplemental slide deck with additional information on our results and guidance. If you need a copy of the release and financial schedules or the supplemental deck, they can be downloaded at investors.spglobal.com. We also issued a release announcing the company's intent to separate its mobility division into a standalone public company. That release can also be found at investors.spglobal.com. The matters discussed in today's conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including projections, estimates, and descriptions of future events. Any such statements are based on current expectations and current economic conditions and are subject to risks and uncertainties that may cause actual results to differ materially from results anticipated in these forward-looking statements. Additional information concerning these risks and uncertainties can be found in our forms 10-K and 10-Q filed with the US Securities and Exchange Commission. In today's earnings release and during the conference call, we are providing non-GAAP adjusted financial information. This information is provided to enable investors to make meaningful comparisons of the company's performance between periods and to view the company's business from the same perspective as management. The earnings release contains financial measures calculated in accordance with GAAP that correspond to the non-GAAP measures we are providing. The press release and the supplemental deck contain reconciliations of such GAAP and non-GAAP measures. The financial metrics we will be discussing today refer to non-GAAP adjusted metrics unless explicitly noted otherwise. I would also like to call your attention to certain European regulations. Any investor who has or expects to obtain ownership of 5% or more of S&P Global Inc. should contact investor relations to better understand the potential impact of this legislation on the investor and the company. We are aware that we have some media representatives with us on the call. However, this call is intended for investors, and we would ask that questions from the media be directed to our media relations team, whose contact information can be found in the press release. At this time, I would like to turn the call over to Martina Cheung. Martina?
Martina Cheung: Thank you, Mark. S&P Global Inc. had a solid first quarter with strong growth in all five of our divisions. Total revenue increased 8% year over year, and revenue from our subscription products increased 7%. We continue to demonstrate disciplined execution, driving year-over-year margin expansion of 240 basis points on a trailing twelve-month basis and 9% growth in adjusted diluted EPS. We also continued our strong track record of capital allocation, returning over $900 million to shareholders in the first quarter through dividends and repurchases. In addition to our strong financial results, we are acting decisively in our portfolio optimization efforts. As you saw us announce earlier this month, we have signed a definitive agreement to divest the Ostra joint venture to KKR, which we expect to close in the second half of this year. We have also announced the intent to separate the mobility division of S&P Global Inc. into a standalone public company. We expect this separation to be tax-free and to be completed in twelve to eighteen months. We continue to innovate not just in our products themselves, but in how we bring those products to market and how we engage with our customers. We are encouraged by the early indications from our chief client office as well as the continued momentum of new products and services introduced in the first quarter. Lastly, we plan to host an Investor Day in November. By November, we expect to have made significant progress on the planned separation of mobility, and we look forward to providing a refreshed view of the multiyear strategy for S&P Global Inc. at that time. Now turning to what we are seeing in the markets and starting with bond issuance. Bond issuance increased 9% year over year in the first quarter. Strength in bond issuance was driven by structured finance and bank loans. While we have continued to see spreads widen year to date, they are still below historical norms. Issuers saw an attractive window to issue debt in the first quarter. We expect bond issuance to moderate from Q1 levels for the remainder of 2025, and we have already seen declines in April. We believe some of the strength in Q1, particularly in investment grades, was driven by the pull forward of some issuance to get ahead of April. We expect the tariff discussion and related market volatility is likely leading to some pushback of issuance as well, both of which put pressure on issuance volumes in the near term. As we look at the broader macro and commercial conditions, it is clear we are going through a phase of unpredictable market movement, geopolitical risk, and fluidity in the regulatory landscape. It is also clear to us at S&P Global Inc. that our customers need us more in times like these, not less. In the first quarter, we saw a significant increase in engagement with our platforms. Active users across Capital IQ platforms, PlattsConnect, and Automotive Mastermind increased on average 23% year over year in the first quarter, and we have continued to see strong engagement through April.
Mark Grant: Our customers are looking for insights, data, and tools to help them navigate,
Martina Cheung: and S&P Global Inc. is a destination of choice for decision-makers around the world. We also saw record attendance at two of our marquee conferences in the first quarter. CERAWeek, widely considered the world's preeminent energy conference, had over 10,000 attendees, including government officials and 1,600 C-suite executives and board directors. For over forty years, the energy industry has gathered at CERAWeek to confront some of the biggest challenges facing the world. This year was particularly impactful as we saw business leaders and government officials take advantage of our platform to make major product strategy and policy announcements from the CERAWeek stage. We also had record attendance at our premier shipping and logistics conference, TPM 25. More than ever, customers need insight into how to effectively manage logistics and supply chains. It was encouraging to see so many industry leaders gather under the S&P Global Inc. banner to share ideas and insights on navigating the current environment. We know it is not enough to wait for our customers to come to us, so we have continued our proactive outreach to customers through our global commercial teams in conjunction with the chief client office. Like many of the individuals on this call, our customers are facing variables that are increasingly difficult to predict week to week. We are seeing a slowing pace of decision-making in the markets compared to our initial expectations. We and many others expected some improvements in the M&A environment, but many of our customers are less confident in both the timing and the magnitude of that recovery this year. We consistently hear about the pent-up demand, and we maintain strong optimism in the long term. But many customers are trying to stay flexible and preserve optionality in the very near term. We benefit, however, from the resilience of our business mix. With recurring revenue accounting for approximately 75% of our total revenue, we are not overly reliant on market-driven factors for our results in any given year. Market volatility can also benefit areas of our business, as you can see in the results of our ETD business and indices, and the global trading services business in commodity insights. These derivative products built on the IP of S&P Global Inc.'s index and commodity divisions are crucial to procurement, hedging, and other strategies that see heightened demand in periods of volatility. Many of our products are mission-critical for our customers, with annual and multiyear contracts, providing additional stability for our business through the cycle. Even within our ratings business, nearly half of our revenue comes from non-transaction revenue, which is more stable, predictable, and consistent in its growth during volatile periods. Despite the near-term headwinds facing issuance, we expect continued growth in our non-transaction business in 2025. That said, there are a number of market factors that can have an incremental impact on our business in the near term. It is important to pay close attention to how these factors are evolving over the year. Even with a very strong portfolio of market-leading products and services, we acknowledge the broad market factors like trade conflict, supply chain risk, and the evolving geopolitical landscape. These things make it more challenging to foresee or plan for central bank actions or the level of capital markets activity that may take place in 2025. As we look to the global markets, we continue to see secular trends that would benefit S&P Global Inc., like the continued shift from active to passive management and energy transition. For 2025 specifically, we expect asset prices in the equity markets as well as the mix of investment grade versus high yield in the near-term maturity walls to be modest headwinds relative to our initial outlook. However, we continue to see other factors like the timing of issuance, market volatility, and the fluidity of regulatory actions as having positive impacts on parts of our business and modestly negative impacts on others. Base case assumptions underpinning our outlook for 2025 reflect the changes we have seen in the environment since February. We originally assumed 3% global GDP growth and 2.3% US inflation. Our current view is that GDP growth will be lower than that forecast, though we do not assume a recession. We also expect inflation to be a bit higher than originally assumed in our guidance. We expect crude oil prices to average in the low seventies for the year, slightly above the levels we are seeing now, though we do expect volatility in the coming quarters. We have had a strong start to the year for bond issuance, but since the end of Q1, we have seen market volatility suppressing volumes, particularly in high yields. We expect second-quarter issuance to decline double digits year over year before returning to more or less flat growth in the second half.
Martina Cheung: As such,
Martina Cheung: we now expect bond issuance to be approximately flat year over year compared to our initial outlook of low single-digit growth. Maturity walls for the remainder of 2025 and 2026 are still 3% to 5% higher than corresponding walls were a year ago, but our bond issuance assumptions now call for M&A volumes to be flat year over year, compared to prior assumptions of modest improvements from 2024. We still see potential for one or more rate cuts from the US Fed in 2025. As we highlighted last quarter, there is a range of potential outcomes beyond our base case assumptions, but we continue to reflect our current thinking and plan to update and refine as we move through the year. These things are factored into the guidance Eric will share with you in a moment. One of the reasons S&P Global Inc. is able to deliver strong financial results through the cycle is our commitment to continued innovation and customer value. The first quarter included some important innovations in data, benchmark, and artificial intelligence. We integrated Visible Alpha Data as an add-on module in Capital IQ Pro, and we were thrilled that the team was able to get this important integration completed and ready for customers a full quarter ahead of schedule. We are also very excited to discuss the launch of iLevel automated data ingest. This joint innovation between our market intelligence and Kensho teams created an AI-powered tool that can pull in data from structured and unstructured sources, tag that data appropriately, and load it into iLevel. It makes it faster and easier for customers to manage increasingly complex portfolios across private equity and private credit. Just as importantly, this tool was developed in a way that lets us leverage its capabilities in other products and even in our own internal workflows like our CRM. It's a great example of our cross-divisional teams creating scalable technology that's built once and deployed everywhere. We also introduced important benchmarks in our fixed income and commodities franchise, including a first-of-its-kind fixed income index in Europe utilizing rolling fixed maturity credits. In Platts, we introduced new commodity benchmarks in biofuels, fertilizers, chemicals, and metals. We encourage you to look through the quarterly release notes to see the continued rapid pace of new products and content in commodity insights. Turning to our financial results, Eric will walk through the first quarter results in more detail in a moment, but we have had an impressive start to 2025. We saw strong growth in every division and 100 basis points of margin expansion in the quarter. Trailing twelve-month margins improved 240 basis points to a record 49.3%. Now turning to the big announcement we made this morning. We're excited to announce today our intent to spin off S&P Global Inc.'s mobility division into a standalone public company. We believe this separation will maximize shareholder value by enhancing S&P Global Inc.'s strategic focus while creating a scaled and independent mobility business. This decision is a result of a lengthy and very robust internal analysis, and the board and management team are unanimously aligned that this is the right course of action to create value for our shareholders. Looking at the financials of both S&P Global Inc.'s core businesses and S&P Global Inc. Mobility, we see that both have very attractive profiles. S&P Global Inc.'s four core businesses, market intelligence, ratings, commodity insights, and S&P Dow Jones Indices, generated nearly $13 billion in revenue in 2024 at an adjusted operating margin of approximately 50%. Mobility generated $1.6 billion at an adjusted operating margin of nearly 40%. Both businesses have a history of innovation, growth, discipline, and strong competitive positioning, and we expect that to continue following the separation.
Mark Grant: We believe the separation will create
Martina Cheung: some significant advantages for S&P Global Inc. going forward. Our four core divisions have similar characteristics, similar customer profiles, and greater ability to share technological and data resources across them. Our leadership team will be better able to focus attention, energy, and resources to accelerate product development and deepen customer relationships while executing against a more unified and cohesive strategy.
Mark Grant: We're excited to share more about that multiyear strategy
Martina Cheung: at our investor day we plan to host in New York on November 13th. As a standalone public company, we believe the mobility business will also be better able to execute its long-term growth strategy independent of the priorities of S&P Global Inc. Mobility will be a well-capitalized company with strong, well-known brands like Carfax, Automotive Mastermind, MarketScan, and Polk. As our analysts and shareholders know, Mobility has incredible data and technology assets creating significant customer value for dealerships, automotive OEMs, and parts buyers, as well as finance and insurance companies. We've seen significant growth in the users of CARFAX Car Care, now serving over 46 million consumers, leveraging more than 35 billion vehicle history records. The vehicle history, forecasting, pricing, and incentive data of the mobility business serve 100% of the top automotive OEMs, 94% of the supplier markets, and include approximately 72 million lines of monthly forecast. This data and technology is deeply entrenched in the workflows of mobility customers, creating a very strong competitive moat and positioning the business well for profitable long-term growth. We are particularly encouraged by the resilience this business has demonstrated through the cycle. We acknowledge the additional attention to the automotive space during these times of trade conflict and supply chain disruption, but we remain very confident in the long-term growth of the mobility business. The secular trends around EV transition, autonomous and software-defined vehicles, shifts in the sales motion of new vehicles, and continued growth in the used car market all have the potential to increase the demand and addressable market of this business. With more than 70% of mobility revenue tied to the used car market, and more than 80% of revenue coming from subscription products, we remain confident that despite some of the end-market challenges among automotive manufacturers, the mobility business is largely insulated from direct impact. We expect both companies to be well-capitalized, and we will provide the details around capital structure and capital allocation as the transaction progresses. We expect the transaction to qualify as tax-free to shareholders for US federal tax purposes. We anticipate the process taking between twelve and eighteen months and will be subject to market conditions and the satisfaction of customary regulatory approvals. We are committed to keeping investors up to date as we move through this process, and investors can expect a number of milestones over the next twelve to eighteen months. With that, I'll turn the call over to Eric Abwaf, our new CFO, to review the financial results. Eric, welcome to the call. Over to you.
Eric Abwaf: Thank you, Martina, and good morning, everyone. I'm delighted to be joining for my very first earnings call here at S&P Global Inc. and especially pleased to be able to talk through such strong results this quarter. Starting with slide eighteen, you'll see on the left panel that we delivered a very strong start to 2025. Solid growth in every division and 9% organic constant currency revenue growth for the company. Revenue growth of 8% and expense growth of 6% allowed us to deliver 100 basis points of margin expansion year over year and 9% in adjusted diluted EPS growth. As Martina mentioned earlier, we continue to engage proactively with customers across the board this quarter while maintaining strict discipline on expenses. That focus and execution helped us to deliver a strong first quarter and also positions us well to deliver strong results for the rest of 2025. Slide nineteen illustrates the progress we continue to make in key strategic growth areas. Sustainability and energy transition revenue grew 20% to $93 million in the quarter, driven by strong demand for commodity insights energy transition products, and data and insights from market intelligence. We continue to see very strong demand for our sustainability offerings in all divisions and saw a number of competitive wins in the quarter, especially around our physical risk solutions. Moving to private markets, revenue increased by 21% year over year to $140 million. Growth was driven by debt and bank loan ratings, as well as continued strength in iLevel and other private market solutions within market intelligence. Private credit continues to be a significant driver of growth for us, and we continue to see strong demand for an S&P Global Inc. rating on debt, whether it is issued in the public or the private markets. We are also nearing the finish line on our revenue synergies. We exited the first quarter with run rate revenue synergies of $311 million and remain ahead of pace to achieve our target of $350 million by 2026. Finally, we are pleased that we continue to deliver the vitality index at or above our 10% target. In the first quarter, we saw contributions from new and enhanced products in every division and are pleased to see the financial impact of the product investments we've made in recent years. Turning to our divisions, market intelligence revenue increased 5% in the first quarter with a net impact of acquisitions and divestitures creating a roughly 30 basis point headwind to growth. Revenue from our data analytics and insights products accelerated on both the to 7% and 4% year over year, respectively. First-quarter revenue in the business line includes a net contribution from Visible Alpha, less the lost revenue from the Prime One divestiture. Enterprise Solutions benefited from an increase in issuance volume in the debt and equity capital markets, as well as strong growth in subscription products. Reported revenue growth of 1% includes the impact of $21 million in FinCENTRIC revenue in the year-ago period. Excluding that impact, organic growth was 8% year over year. Credit and risk solutions grew 6%, supported by strong new sales and price realization, particularly for Ratings Express subscriptions. Consistent with the commentary we made during our last call, margins were below the full-year guidance range in the first quarter but actually came in slightly better than we initially expected based on some tight expense controls we put in place at the start of the year. Margins of 32.8% improved slightly year over year. We expect some modest improvement in the quarterly revenue growth rates in 2025 as we progress through the year. We see strong growth in the sales pipeline and stable renewal rates, and we expect both of those dynamics to continue as we lap more of the cancellations from 2024. We're also encouraged by the continued momentum we're seeing in our competitive win rate in market intelligence as our enterprise approach continues to resonate with more and more customers. Now turning to ratings on slide twenty-one. As Martina mentioned earlier, we saw issuers take advantage of favorable financing conditions and open market windows to drive growth in issuance volumes in the first quarter. Q1 was actually the fifth consecutive quarter of more than $1 billion in revenue for our ratings division. Ratings revenue increased 8% year over year as we saw positive growth across all revenue categories. Transaction revenue grew by 7% in the first quarter, as heightened refinancing activity increased bank loan and structured finance fees. Non-transaction revenue increased 10%, primarily due to an increase in annual fee revenue and elevated issuer credit rating or ICR revenue. Importantly, much of our growth in ICR came from private market mandates as more and more participants in the private markets are looking to capture the value that comes from an S&P Global Inc. rating. Given the pullback we've seen in April issuance volumes, we do expect bond issuance to be down low double digits in the second quarter and flattish in the second half. This will primarily impact the cadence of transaction revenue while non-transaction revenue continues to grow at a healthy pace each quarter. As Martina mentioned earlier, we benefit from this strong base of non-transaction revenue in our ratings business, and we expect non-transaction revenue to grow faster than transaction revenue in a year like 2025. That provides some additional stability to our ratings business through the cycle. Adjusted expenses increased only 4% in the quarter. We continue to actively monitor the issuance environment and manage expense levers in our market-driven businesses tightly to preserve margins and ensure we're positioned to deliver against the profitability targets we set out for 2025. Now turning to commodity insights. Revenue increased 9% following the sixth consecutive quarter of double-digit growth in energy and resource data and insights. Price assessments and data and insights grew 8% and 10%, respectively. We continue to see commercial momentum as we transition more customers to enterprise contract relationships. We are approximately one quarter of the way through the eligible customer base in that transition and expect to be nearly halfway through by year-end. Advisory and transactional services revenue grew 19%. As Martina noted earlier, times of volatility and uncertainty drive increased demand for a number of our products, and we saw this positive impact in the first quarter. We had a record quarter in global trading services and record attendance at CERAWeek, both of which contributed to the outsized growth we saw here too. Upstream data and insights revenue grew by 1% year over year, with growth tempered by somewhat elevated cancellations due to the consolidation we've seen in the energy space. We expect that consolidation to impact upstream a bit more in the remaining quarters of 2025. Adjusted expenses increased 8% due to higher compensation costs and ongoing investment in growth initiatives. Operating profit for commodity insights increased 11%, and operating margin improved by 90 basis points to 48.1%. Now turning to mobility. Revenue increased 9% year over year. This includes roughly a 70 basis point headwind from currency impact, largely due to exposure to the Canadian dollar. Dealer revenue increased 11% year over year, driven by new business growth in products such as CARFAX and Automotive Mastermind. Dealer revenue benefits from its higher exposure to the used car market, which is generally more resilient through the cycle than the new car market. Manufacturing increased 1%, with growth impacted by the decline in transaction revenue related to the recall business. As a reminder, we began calling out the impact of the decline in recalls earlier last year and will lap that impact beginning in the second quarter. Financials and other increased 11% as the business line continues to benefit from strong underwriting volumes and commercial momentum. Adjusted expenses increased 8%, primarily due to the increased advertising and promotional investment. That investment has helped drive significant growth in CARFAX Car Care, which now has approximately 46 million users, a nearly 65% increase since our investor day in 2022. Margins for the segment improved 40 basis points year over year to 38.5%. Now turning to S&P Dow Jones Indices. Revenue increased 15%, primarily due to strong growth in asset-linked fees, which benefited from higher AUM and continued strength in exchange-traded derivative revenue. Revenue associated with asset-linked fees was up a strong 18% in the first quarter. This was driven by higher ETF and mutual fund AUMs, benefiting from both market appreciation and net inflows. As a reminder, there's a slight delay in revenue recognition in our asset-linked fees, which allows us to continue benefiting from higher equity valuations we saw during the fourth quarter of last year. We do expect growth in asset-linked fees to moderate in Q2 and beyond, given the declines we've seen in market valuations since we gave our initial guidance. Exchange-traded derivatives revenue grew 11%, primarily driven by the strong volumes in SPX products and price realization. Data and custom subscriptions increased 7% year over year, driven by new business growth in end-of-day contracts, which saw mid-teens growth in the quarter. Revenue from custom subscriptions, however, somewhat offset the very strong growth in end-of-day contracts. Adjusted expenses increased 15% year over year, primarily due to increased investments in strategic growth initiatives, as well as an increase in compensation expense. Indices operating profit increased 15%, and operating margin remained unchanged year over year at a very strong 72.9%. Now turning to guidance. Given our new debt issuance expectations and the current equity market levels, slide twenty-five outlines our enterprise guidance on a GAAP and adjusted basis. We are now expecting total revenue growth in the range of 4% to 6% with adjusted margins in the range of 48.5% to 49.5%. We remain confident in our ability to deliver solid revenue growth, strong margins, and growth in adjusted EPS this year. As I'll discuss on the next slide, we do expect slightly lower growth in ratings and indices, our two market-driven and highest margin businesses. But we plan to manage expenses so that we can preserve margin guidance in all five divisions this year. However, due to the planned closing of the Ostra sale later this year, we will see slightly lower operating income, with no corresponding revenue impact, which will directly impact margins for the year. The Ostra impact and the mix shift in revenue are the primary drivers for the change to our enterprise margin guidance. We expect to use the proceeds from Ostra for additional share repurchases, which will offset much of the EPS impact. Our discipline on both expenses and strong capital returns allows us to keep the high end of our EPS guidance intact. Given the market volatility and variability in our market-driven businesses, we think it's prudent to widen the range a bit and now expect adjusted diluted EPS in the range of $16.75 to $17.25. Moving to our division outlook, our revenue guidance for Market Intelligence is unchanged. For ratings, based on the current expectation for flattish bond issuance this year, we expect revenue growth to be flat to up 4%. We have a slightly lower but also slightly broader range compared to our previous guidance. Revenue guidance for commodity insights and mobility are also unchanged. For indices, we've obviously seen the market pullback, particularly in US equities, since we gave our initial guidance. Given that pullback, we now expect revenue growth in the range of 5% to 7%. This guidance assumes the S&P 500 is flat from April 15th through the end of the year, modest growth in ETD volumes, and subscription growth similar to what we saw in the first quarter. On the next slide, we are reiterating the margin outlook for all five of our divisions. While we do expect somewhat lower revenue in ratings and indices, we expect to offset that impact with expense discipline and modest adjustments to incentive compensation. We have multiple levers that we can pull as needed this year, and we've proactively identified and prioritized those. We want to make sure we are prudent and don't pull them too early or too aggressively, though, and preserve our ability to invest in the important revenue growth opportunities we see over the next few years. With that, I'll turn the call back over to Mark for your questions.
Mark Grant: Thank you, Eric. For those on the line, if you would like to ask a question, please press star one and record your name. To cancel or withdraw your question, simply press star two. Participants will be limited to one question in order to allow time for others during today's Q&A session. Operator, we will now take the first question.
Operator: Thank you. Our first question comes from Miss Toni Kaplan of Morgan Stanley. Your line is open.
Toni Kaplan: Thanks so much. Congratulations on the mobility announcement. I was hoping you could just give some color on timing. So why now and then maybe the implications for Remainco, are there any datasets that you'll continue to try to license from the spun entity once that happens? And then I know it's early, but any initial thoughts on dissynergies? Thanks.
Martina Cheung: Hi, Toni. It's Martina. Thanks for the question. Well, as I mentioned during the prepared remarks, this is something that we have been thinking about very deeply for some time. We've done an incredibly deep and rigorous assessment, including multiple rounds of dialogue around this with our board of directors and consulting with external advisers on this also. So we've come to the conclusion that this is the best path to long-term shareholder value and that the tax-free spin here is the right path forward for us. I would say we will certainly have more details with respect to datasets that we would license. At this point, we're very much in the mode of business as usual and continuing to focus while the process is running in the background.
Eric Abwaf: And, Toni, it's Eric. We've obviously done an initial look at the financials as you can expect. The carve-out process has begun and is fairly intense. You know, a high-level view of dissynergies, stranded costs, and so forth suggests that they're relatively immaterial to our overall financials. But those are the kinds of topics we'll update you on as we move along later this summer, this fall, and into next spring.
Mark Grant: Thanks, Toni. The next question will come from Faiza Alwy of Deutsche Bank. Your line is open.
Faiza Alwy: Yes. Hi. Thank you so much. I wanted to ask about Market Intelligence and your confidence in the ability to accelerate revenue as we go through the year. Maybe you can comment on what you're hearing from your customers, how bookings have trended, and any other color around the end markets. Thank you.
Martina Cheung: Hi, Faiza. Thanks for the question. We have had a very good start to the year with market intelligence and been quite encouraged with several of the core metrics there, including some of the ones that Eric mentioned. We've seen stable retention rates, good sales pipelines, and ACV faster than revenue, which, of course, is a great indicator for the strength of the business going forward. Remember that Eric also mentioned we will be lapping 2024 early-year cancels as we go throughout the year. That gives us a lot of confidence in acceleration as we had indicated in our last call for a stronger second half compared to the first half of the year. So good indications there. From a customer standpoint, we have made several improvements to how the sales teams are aligned to customers, particularly from an account management standpoint. That has really helped teams to have more direct connections and engagement with the customers, and we've been hearing very positive feedback on that realignment. Also hearing very positive feedback on joint go-to-market between the market intelligence sales teams and our chief commercial office. And we're starting to see some great deals there. So we, for example, closed a large counterparty manager deal with a large investment bank in the quarter. We also closed a large primary markets issue book deal with a commercial bank in the first quarter. So all in good momentum, good first quarter, and we'll continue moving ahead. Thanks for the question.
Operator: The next question will come from Surinder Thind of Jefferies.
Surinder Thind: Thank you. Could you maybe talk about the levers as you guys talk about managing expenses and some of the puts and takes might be in the range of expectations?
Eric Abwaf: Sure. The levers here are as you'd expect, and then the ones that we've actually, I think, pulled and addressed over the last couple of years during the ups and downs of the environment, but also the same ones that you'd expect at any well-run company. You know, clearly, headcount and hiring for backfills is a lever that we monitor closely, especially in this environment where there's uncertainty. There's incentive compensation, which will float up and down with revenue and performance. There's third-party spend, professional services, obviously, which has a degree of flexibility. And then finally, there's embedded costs. So I think those are the ones that we typically want to protect except in very extreme circumstances. So, you know, part of what I've done as I've settled in over the last two months is literally spend time division by division, circling those, making sure we're ready, selectively making some tactical adjustments, but those are the areas where we're vigilant and we'll continue to stay vigilant and disciplined during this environment.
Mark Grant: Thanks, Surinder.
Operator: The next question will come from Ashish Sabadra of RBC Capital Markets.
Ashish Sabadra: Thanks for taking my question. But on the issuance guidance, thanks for providing that incremental color on M&A assumptions. My question was the flat issuance assumptions for the back half of the year. Does that include any kind of pulls forward or what are your assumptions around high spreads as well as rate volatility? Thanks.
Martina Cheung: Hi, Ashish. Thanks for the question. Well, as we mentioned, we would expect our bond issuance to be roughly flat for the full year, so modestly more cautious than what we had mentioned during our last call. Maybe I can break it down a little bit for you. So from a refi standpoint, we still expect the 2025 refis to go ahead. We saw a little bit, we think, in pull forward in investment grades ahead of April. But broadly speaking, we're seeing the 2025 refis come to market as we considered. What we have less expectation of this year is pull forward from 2026 and beyond, especially for high yields who would have less of an incentive to come to market in a volatile environment. On the M&A piece, we did say flat year over year. I think it's worth mentioning we still see potential for some opportunistic issuance, although we've moderated that a little bit in the full-year guide that we've provided for bond issuance. And I think maybe the last point I would make on this is, you know, as we know, this is incredibly difficult to predict at this point. There are risks to the downside and the upside on this. I mean, look, contemplated in our range is, you know, there's a possibility of negative year-over-year growth, for example, in transaction revenues. However, there's also risk to the upside. We know that there's a lot of pent-up demand in M&A. And we think from a timing standpoint, it's more likely at this point to hit in 2026. But we know issuers are good at coming to market when they see an opportunity, and so it's possible we could see some of that this year in the second half as well. Thanks for your question, Ashish.
Operator: The next question will come from Andrew Steinerman of JPMorgan. Your line is open.
Andrew Steinerman: Two quick ones. One, what's the share count implied in the 2025 guide? And did it change since February? And secondly, you talk a lot about the strong balance sheet and the share buyback activity. What's the view on S&P's M&A ambitions at this point?
Eric Abwaf: Andrew, let me take the first part of that question. I think for share count, you just start with the share count as it's disclosed, factor in the buybacks at reasonable price expectations, and then just calculate that going forward for the quarters and the rest of the year, and I think you should be able to get to what you need.
Martina Cheung: Great. Hi, Andrew. Regarding your question on M&A ambitions going forward, I'd reiterate a point that I made on the last call, which is we certainly have no intention of any type of transformative M&A as we go forward. We're really focused on what we think are very high-quality organic growth opportunities within each of the divisions and across the divisions, and that's where we're executing as we go throughout the year. I would say consistent with how we have taken advantage of certain opportunities in the past, if we see a tuck-in that is very attractive for either a core business or very attractive for one of our strategic growth themes, of course, we would consider that. And, of course, we always do that through the lens of shareholder value as well as the value we create for our customers. Thanks for the question, Andrew.
Operator: The next question will come from Scott Wurtzel of Wolfe Research.
Scott Wurtzel: Hey, good morning, guys. And thank you for taking my question. I just wanted to touch on the topic of private credit and wondering if you can share how that performed on the rating side relative to expectations during the quarter and maybe talk about what you're assuming in terms of growth contribution from private credit for the balance of the year?
Martina Cheung: Scott, it's Martina. Thanks for the question. Well, we continue to execute overall across the organization through the really strong products we have in ratings, in market intelligence, as well as opportunities for our benchmarks in indices. Specifically in ratings, we've always said that we would rate the business or the deals wherever they come. And we've made very good strides with the majority of the sponsors that we've engaged with. There's a lot of demand, as Eric said in his remarks, for an S&P rating, whether it's public or private. And so that's been, I think, a strong contribution. We've cited the mix there in the past. We've certainly seen some great results in middle market CLOs, for example, in NAVs and other private credit opportunities. I would say for the remainder of the year, just given some of the really tough year-over-year comps as well as a little bit of moderation in the environment around issuance generally, I wouldn't say we have heroic assumptions for growth specifically in private credit for the remainder of this year. Thanks for your question, Scott.
Operator: The next question will come from Alex Kramm of UBS. Line is open.
Alex Kramm: Yes. Hey, good morning, everyone. I'm going to have another boring cost question, but it is Eric's first call, so I think it's okay. But, you know, it sounds like you mentioned that all the work on the cost base so far has been more as a do we need to pull any sort of levers to show margin expansion, etcetera, if the environment is a little bit tougher? Just wondering how you think about the cost base holistically. I know it's only been a couple of months for you. Obviously, you've come from a lower margin company, and look, I think over if you compare some of the peers in particular market intelligence, the margins don't compare as well anymore for S&P Global Inc. So given that you have a history of cost programs every couple of years, you did a big transaction a few years ago, just wondering if there's room for maybe a more holistic rebasing of that cost program and where that would come from. Thank you.
Eric Abwaf: Alex, it's Eric. Thank you for the question. As you say, in every company, and this one included, there's typically, and there I've seen it here already, a recent history over the last few years, but certainly embedded in our budgets for this year and our guidance for this year to do more than just, you know, ration headcount up or down. That's not what we're focused on. That we do to make tactical adjustments during the year. I think what I've started to appreciate is that there's a range of initiatives that we've launched over the last year across our various businesses. Some of those, as you know, for example, in MI, we've been removing silos, simplifying operations, consolidating areas of activities. In other areas like commodity insights, we've had a real push on using Gen AI for productivity and some of the analytical and research functions. So there's some systemic efforts underway that I think are part of what will help us deliver our expectations and guidance for this year. You know, to the question of is there more, well, there's always more to do, and that's the kind of work that we start planning on now for next year, and we'll start planning on next year for the year after because it's a muscle that I think developed here. But we can continue to refine it, and that's what the management team will do together.
Mark Grant: Thanks, Alex.
Operator: The next question will come from Manav Patnaik of Barclays. Your line is open.
Manav Patnaik: Good morning. Martina, I just wanted to confirm. I mean, it sounds like from everything you're saying, you're not yet seeing any major changes in your customer behavior. So I was just hoping you could just help elaborate on that, maybe focusing more on the MI and subscription businesses really?
Martina Cheung: Yeah. Thanks, Manav. And that is true when it comes to the subscription businesses. Clearly, this kind of environment, we've signaled that we see some behavioral changes in ratings, for example, as I mentioned, with some issuers on the sidelines. So we certainly see that downside in the market-sensitive areas like ratings and a little bit in indices as well. I would say that we're paying really close attention to the subscription businesses and looking very closely at this obviously by sector. The fact that, you know, we have for the most part, multiyear deals really serves as a ballast in times like this. But, of course, we have to be very strongly engaged with our customers to get a sense for when there may be more pressures. One of the other things that we've been extremely disciplined about since last year is making sure that we're positioned to benefit from vendor consolidation opportunities. And we have heard in a couple of recent discussions with large clients that they may be accelerating vendor consolidation, and, of course, we're prioritized there. Through the work that we've been doing as well with the chief client office. And so those are some examples. I would also say that, you know, there are upside opportunities. We have, as you know, some of the strongest supply chain data around, you know, multiple sectors, regions. We also just simply by virtue of what we do, are being used to our data is being used by our clients even more. We saw that in the very significant uptick year over year in platform usage, for example, across MI and CI as well as mobility in the first quarter. So overall, we're watching very closely. We don't see massive changes in behavior. We're certainly not hearing that from our customers. And engaging very, very strongly to make sure we're positioned for growth opportunities as they arise. Thanks, Manav.
Operator: The next question will come from George Tong of Goldman Sachs. Your line is open.
George Tong: Hi, thanks. Good morning. You mentioned you're not seeing any major changes in customer behaviors. Can you talk a little bit more about what you're seeing with pipeline performance and sales cycles?
Martina Cheung: Yeah. Hi, George. It's Martina. We are right now seeing our sales pipelines as expected. And that is one of the things that gives us very good confidence as we think about our subscription businesses throughout the rest of the year. Again, I think the behaviors as we've engaged more closely with our customers across divisions all the way from our division presidents down through the sales teams. To the extent that we're hearing places where customers, you know, may be feeling more or less pressure, a lot of times, we are positioned to benefit from vendor consolidation efforts, for example. Definitely something that we're paying very close attention to. And I think what comes in line with this, and I've mentioned it in particular, for example, for MI, but also the other divisions, is that we're seeing quite stable renewal performance, particularly in market intelligence, where, you know, that is something that we had highlighted as core objectives for this year. And between that and the fact that we'll be lapping some cancels for early 2024, we see that as good indicators for a strong second half and MI in particular. Thanks for the question, George.
Operator: The next question will come from Andrew Nicholas of William Blair. Your line is open.
Thomas Roesch: Hi, good morning. This is Tom Roesch on for Andrew Nicholas. Thanks for taking my question. I was wondering if you could touch on the commodity insights end markets and kind of what you're seeing there. And then also, are you expecting any pressure from tariffs or just trade war in general up in that segment on the end markets? Thank you.
Martina Cheung: Hi, Thomas. It's Martina. Thank you for the question. I think we've seen really strong growth in commodity insights so far this year. We've benefited across businesses as a result of some of the unique data that we have. We've been able to launch new price assessments in a number of areas like biofuels, ag, etcetera. And we highlight the particular strength also of the energy transition and sustainability parts of that business where our growth in CI with the combination of the commodity insights data, etcetera, with the sustainability data is now beginning to give the team opportunities to launch new innovative products also. One example there is we recently launched a product that integrates our climate risk analytics onto our ag data so that our users can actually understand the impact of extreme weather events on crops, for example. So really unique and differentiated insights, not only in the product that we offer today, but also in what we're rolling out as we go forward. So strong performance there, strong engagement with our clients. Clearly, Eric mentioned that there is a little bit of consolidation in upstream. That's something that we've contemplated as part of the full-year guidance that we're giving. And then I think pressure from tariffs, if I were to take a little bit of a step back on this, I think generally speaking, we certainly would be watching very closely, working closely with our customers. These are the types of areas where our customers will actually use the data more. We saw really strong uptake, for example, in usage of PlattsConnect in Q1. And, obviously, we see that upside as well through the GTS revenues, which had very strong results in the first quarter. So largely insulated, I would say, Thomas, specifically from the direct impacts of the tariffs. But clearly, we're very strongly engaged with our customers to make sure that we don't see anything else that we would need to address going forward. Thanks for the question.
Operator: The next question will come from Craig Huber of Huber Research Partners. Please go ahead, sir.
Craig Huber: Thank you. I just want to get back if I could on the mobility question and the whole why now and stuff. I mean, obviously, in the past, you guys have talked about it being a core part of your operations. You've done really well underneath S&P. I'm just wondering again just if you could just elaborate a little bit further, what's changed here, why you want to spin it off now and stuff? I mean, in the past, you've said it was core. Now it's not core. I'm just trying to understand better. Obviously, your stock has moved in line right in line with the S&P 500 here over the last twenty-four months. I mean, a lot of stocks would love to have that sort of performance. I mean, just what's changed? Just a little bit more there. Thank you.
Martina Cheung: Craig, I'm going to take your question and respond to it from the top again. I think we lost audio there momentarily. You're asking why now and what's changed. I would say this is something we've been thinking about for quite some time. We've done very rigorous and deep analysis around this. To be clear, the mobility business is a phenomenal business. It has a very long history of innovation, of strong growth, and it's got incredibly talented leaders across the business. We believe that the plan to do a tax-free spin is really the best opportunity for long-term shareholder value here. It allows an ability to pursue its profitable growth trajectory, and S&P Global Inc., excluding mobility, allows our four core divisions to grow and be very closely aligned with our strategy. So that's really the thinking here, Craig. Thanks for the question.
Operator: The next question will come from Owen Lau of Oppenheimer. Your line is open.
Owen Lau: Hi. Good morning. Thank you for taking my questions. I actually have two quick questions here. The first one is, could you please talk about how do you bridge the flat bond business to the zero to four percent ratings revenue growth? Is it mainly driven by pricing, or is there another mix shift going on that we should be aware of? And then the second part, about the sale of Ostra. Could you please talk about how do you plan to use the proceeds and if there's any if there's additional buyback have you baked that into your guidance? Thanks.
Martina Cheung: Hi, Owen. Thanks for the question. I'll take the first one and then hand over to Eric. So the revenue guidance at zero percent to four percent for ratings, obviously, we've widened the range there, and that really contemplates the possible variety of ways in which those issuance could shape up. So wanted to be prudent in how we were guiding for the full-year ratings revenues. To be clear, the path back to the zero to four percent is informed by our expectations for the rest of the year in the non-transaction side, which we expect for around the mid-single-digit range. And then there are a variety of potential scenarios on the bond issuance side with risk to both the upside and downside as I had mentioned earlier in the call. So that's the path back to that wider range of zero percent to four percent.
Eric Abwaf: And, Owen, just to follow up on Ostra, you know, we're very pleased to have announced the sale. It'll bring in proceeds of about $1 billion on an after-tax net basis. And we expect to close sometime this fall and expect to use those proceeds for additional buybacks in the latter part of the year. And it is included in our overall guidance.
Mark Grant: Thanks, Owen.
Operator: The next question will come from Jeff Silber of BMO Capital Markets. Line is open.
Jeff Silber: Thank you so much. I had a question on your guidance specifically looking at the free cash flow. I realize you reduced guidance slightly for revenue growth and operating profit margin, but it looks like the reduction in guidance for free cash flow is in excess of that. Despite the fact that you're also expecting about $10 million less in CapEx. Is there something going on in the free cash flow line different from three months ago that we should be aware of? Thanks.
Eric Abwaf: Hi, Jeff. It's Eric. There's just some puts and takes in there, in particular, some timing on taxes, working capital, and so forth that are just realigning that a little bit. Obviously, if those change, those tend to change now and then, and we just put it the appropriate update given the headlights we now have. Thanks, Jeff.
Operator: The next question will come from Shlomo Rosenbaum of Stifel Nicolaus. Your line is open.
Shlomo Rosenbaum: Thank you for taking my question. Martina, maybe you could give us a little bit of inside base on how you kind of set the guidance. It seems like the changes are in ratings and indices, which you're already seeing some impact from the environment, but the other ones you're leaving at the same. Is leaving at the same just because you have not seen an impact yet, or is leaving the guidance in the other divisions because you are looking at the range of outcomes and they kind of net back to neutral? I'm just trying to understand your thinking over there.
Martina Cheung: Hey, Shlomo. Thanks for the question. I would say we spent quite a lot of time bottom-up with all of the divisions understanding what we're seeing in key metrics, whether it's renewals, retention, cancels, new sales pipelines, etcetera, and really been quite rigorous in thinking about any potential impact. And this is contemplated essentially in the full year, including in the changes to ratings and maintaining the other divisions. But we don't net out at the aggregate level. We go bottom-up division by division to get to the answer. So hopefully, that helps. Thanks so much for the question.
Operator: The next question will come from Russell Quelch of Redburn Atlantic. Your line is open.
Russell Quelch: Hi. Good morning. I appreciate the impact the lower equity markets have on indices revenue outlook. But I wanted to pick up on the 9% growth in data and custom subscription revenues in Q1 within the index business. That looks like the highest print you've ever reported in that line. So are you managing to drive competitive displacement in benchmark and that subscriptions? If so, maybe what areas is that more pricing? And maybe could that help offset some of the pressure on asset-linked fees as we look out for the rest of the year?
Eric Abwaf: Russell, it's Eric. We're quite pleased with the performance of indices this quarter in aggregate and across its various product lines. Part of what boosted the data and custom subscriptions line was end-of-day data, which is quite rich in terms of what we provide and quite valuable for our clients and saw some real uptick there. It was marginally offset by some custom data feeds that came in a little lower. But overall, we're pleased with the performance.
Mark Grant: Thanks, Russell.
Operator: The next question will come from Jason Haas of Wells Fargo. Your line is open.
Jason Haas: Good morning, and thanks for taking my question. Curious if you talk about the sensitivity of the mobility business to auto tariffs. Have you seen any impact from that so far? Are the conversations with your customers changing at all? How do you expect that to trend going forward? Thank you.
Martina Cheung: Hi, Jason. Thanks for the question. This is obviously something we're paying very close attention to. Maybe just to give some color around firstly, what we think is happening and likely to happen in the automotive sector. So we certainly see pressures in reduced imports, potential for lower actual manufacturing in some cases for a variety of different reasons, including imported components, etcetera. And so that could put downward pressure on existing inventories, upward pressure on prices. And so we would expect and we are anticipating in dialogue with our OEM. And in fact, we this is largely on a subscription basis, and there we are reasonably insulated from those impacts. But we're also very much engaged with helping our manufacturer clients to actually navigate this journey. The other point that I would make is the business overall is about 70% used car related. And there, we actually see that the used car market could actually benefit from some of this anticipated change in higher prices for new cars, lower inventory for new cars. So that's another piece of this. And, of course, the vehicle history, the vehicle pricing, the incentive sales marketing data, these are all really critical data sets for dealers now, particularly in this kind of environment. So, you know, all in all, we're paying close attention. We certainly need some pressure on our end customers, but we are not directly impacted by that at this point. And that's one of the reasons why you see us maintain and have confidence in our guide for the full year. Thanks for the question, Jason.
Operator: The next question will come from Jeff Meuler of Baird. Your line is open.
Jeff Meuler: Yeah. Thank you. Maybe just taking a step back as the portfolio gets to a steadier state, just given the number of divestitures, including some of the smaller businesses within the segments and the forced divestitures, I guess, what are the how would you summarize the most important capabilities acquired at this point from the IHS Markit acquisition? And where do they show up the most in financials? I'm guessing private markets and energy transition growth are in part enabled by that. But just, yeah, how would you summarize that overall? Thank you.
Martina Cheung: Hi, Jeff. Thanks for the question. Well, IHS Markit from an acquisition standpoint benefited us tremendously across three of our four divisions, excluding mobility. The areas where we've seen incredible positive momentum. First, if we start with S&P Dow Jones and the IBoxx franchise, that has very in fixed income, for example, and we've been able to launch really new innovative products there, including the ability to enhance our multi-asset class offerings within market intelligence, products across peace, including our enterprise solution products. We also have incredibly strong maritime data that came in, which, of course, is so critical now. And the private credit capabilities, as you mentioned, be it Wall Street, office or iLevel, products there in market intelligence that came through the acquisition. And, of course, in commodity insights, this is a business that is really suited to us 360. Commodities. You know, we were able to round out our key capabilities in several areas, including petrochemicals, including in the renewables area as part of the merge between the energy resources business and Platts. And we're so well positioned. And, you know, last but not least, of course, CERAWeek, which has given us just such an incredible stage from which to host these amazing dialogues every year. So this has been, I think, very, very important for us and incredibly important for our growth going forward. And, of course, you know, you see that with Eric's comments earlier that we're about 90% of the revenue synergies that we had anticipated from the deal, which continues to perform very well. Thanks for the question, Jeff.
Operator: The next question comes from Sean Kennedy of Mizuho. Your line is open.
Sean Kennedy: Good morning. Congrats on the results. So I was wondering how a sustained period of lower oil and other energy prices might affect commodity insights growth and how it may be different versus the last period of lower energy prices in 2020? Thank you.
Martina Cheung: Hi, Sean. It's Martina here. What I would say is our business doesn't move directly in line with the price of commodities. So we charge a license or subscription for the use of the price assessments, whether it's oil or natural gas, you know, or any of the other many, many doses of commodity prices that we price on a daily basis. So I would say at its most extreme, to the extent that the price got so low and impacted, you know, actual providers or resulted in bankruptcies or shutdowns, I mean, that certainly you would see maybe, you know, some impact there. Remember though, our view for this year is that we expect prices to be in the low seventies, which is actually a little bit higher than where they are right now. All of that is contemplated in the guide that we provided, and we don't see at this point of the year massive downside or upside from that expected price range. Thanks, Sean.
Operator: And the final question for today will come from Joshua Dennerlein of Bank of America. Your line is open.
Joshua Dennerlein: It would be great to hear a bigger update on the chief client officer role and how those conversations are progressing with clients. And then any kind of early wins you can share on that office?
Martina Cheung: Yeah. Hi, Josh. Well, we're progressing, I would say, very nicely with the chief client office. We are across the board, including all of our division presidents, out engaging with our senior clients, senior executives at our largest strategic clients in partnership with the chief client office. And I would say that it's positioned us, as I mentioned a little bit earlier in the call, really strongly for certain opportunities around vendor consolidation. But we've also seen strong renewals in some cases for very large deals and also new business, which is really exciting. Several to mention, one example is a large deal with an investment bank for a counterparty manager, another for primary markets issue book for a large commercial bank. Multiyear, multimillion-dollar new deal that we've won for corporate actions for another bank. And so really interesting. We're continuing to build pipelines across all sectors. We've certainly seen some really nice early wins in the financial clients. But we'll continue to build out across all sectors as we go throughout the year. So it's encouraging, and I think we're off to a good start there with that effort. And that is that's well, I'll wrap up with that one. Thank you so much for your question, Josh. So I will say thanks so much to everybody who joined the call today, which for your questions. We've had a very impressive start to the year, and we're excited to continue executing throughout the course of the year. I do want to welcome Eric and thank him for a phenomenal first call. We're very excited to have him on board. And mostly, also, thank you so much to our customers and to our employees. And with that, we will close the call. Thank you.